Operator: Greetings, and Welcome to the La-Z-Boy Fiscal 2024 Second Quarter Conference Call. At this time, all participants have been placed in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Mark Becks, Director of Investor Relations and Corporate Development. You may begin.
Mark Becks: Thank you, Genie. Good morning, everyone, and thanks for joining us to discuss our fiscal 2024 second quarter. With us today are Melinda Whittington, La-Z-Boy's President and Chief Executive Officer; and Bob Lucian, La-Z-Boy's SVP and CFO. Melinda will open and close the call and Bob will speak to segment performance and the financials midway through. We will then open the call to questions. Slides will accompany this presentation and you may view them through our webcast link, which will be available for one year, and a telephone replay of the call will be available for one week beginning this afternoon.  Before we begin the presentation, I would like to remind you that some statements made in today's call include forward-looking statements about La-Z-Boy's future performance and other matters. Although we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our annual report on Form 10-K. We encourage you to review those risk factors, as well as other key information detailed in our SEC filings. Also, our earnings release is available under the News and Events tab, on the Investor Relations page of our website, and it includes reconciliations of certain non-GAAP measures, which are also included as an appendix at the end of our conference call slide deck. With that, I will now turn the call over to Melinda Whittington, La-Z-Boy's President and Chief Executive Officer. Melinda?
Melinda Whittington: Thanks, Mark, and good morning, everyone. Yesterday, following the close of market, we reported results for our October ended second quarter. We delivered sales in line with the high-end of our guidance and non-GAAP operating margins exceeded guidance ranges issued last quarter, despite an increasingly challenging macro environment and continued soft home furnishings industry. These results were achieved via strong execution in both our retail stores and across our manufacturing supply chain, which has led to continued market share gains. Highlights for the quarter included: consolidated delivered sales of $511 million, up 14% versus our most recent pre-pandemic second quarter, but down 16% versus the prior year as expected, which benefited from delivering the above normal pandemic backlog. Total La-Z-Boy Furniture Galleries network written same-store sales growth of 1% positive, and flat written same-store sales for our company-owned retail stores. Non-GAAP gross margin improvement in both our retail and wholesale segments and total consolidated non-GAAP gross margin improvement of 340 basis points year-on-year. Non-GAAP operating margin of 7.9% above our guidance range, but down from a year ago, given deleverage on the delivered sales decline. Non-GAAP EPS of $0.74, a 30% decline from the same period last year, but 42% greater than pre-pandemic fiscal '20, and above our expectations. The launch of our new brand campaign, Long Live the Lazy, that has had early success with our expanded target consumer and is contributing to strong conversion levels. And finally, continued progress against our Century Vision growth strategy, including the expansion of our retail business with the opening of two new stores, and the acquisition of one independent La-Z-Boy Furniture Gallery store. Our company-owned retail store base now represents just over 50% of the entire La-Z-Boy Furniture Galleries network. The overall home furnishings industry is in a continued slowdown with year-over-year declines in category spending. Consumers continue to de-emphasize discretionary spending on durables, as they adjust to higher interest rates, and housing turnover continues decline on a year-over-year basis. Despite these challenging consumer traffic trends, our La-Z-Boy Furniture Galleries network grew written same-store sales 1%, and company-owned stores held same-store sales flat versus year ago. With our ongoing efforts to build a more agile supply chain, along with disproportionately growing our retail business, where we have greater control over the end-to-end brand variance, we are positioning our business to continue driving profitable growth over the long-term. La-Z-Boy has been a trusted brand throughout our nearly 100-year history and we are encouraged with our progress, particularly given the challenges across the broader furniture industry. We continue to take a long-term approach to investing in our business, and remain confident in our ability to drive performance that outpaces the industry. Additionally, should sales and traffic headwinds persist longer-than-anticipated, we have the proven ability to manage our cost structure. And finally, our vertically-integrated model and the disproportionate growth of our direct-to-consumer business, which now contributes nearly half of our total company sales, comes with a structurally higher margin and will support continued investment into the business, as well as improvements in profitability. Highlighting our ongoing top-line trends, total written sales for our company-owned retail segment were up 3% versus last year's second quarter. This growth in written sales was attributed mainly to acquisitions of independent furniture gallery dealers in the quarter. Written same-store sales for our company-owned retail segment, in the second quarter, held essentially flat versus the prior year, even in the challenging consumer environment.  Our Long Live the Lazy brand campaign has produced strong early results, in driving more productive traffic to stores, and in store execution remains solid with strong conversion and higher design sales. And we have sharpened some of our opening price points as raw materials and freight expenses normalize. Our written same-store sales were buoyed in August with strong Labor Day performance, but weakened during the balance of the quarter, as traffic trends slowed, particularly in October, consistent with our industry. That said, we have had a solid start to the holiday season in November. Against the backdrop of a 9% industry contraction during the second quarter, our 3% increase in total written sales indicate continued market share gains. As noted, across our entire La-Z-Boy Furniture Galleries network of 353 stores, written same-store sales grew 1% for the quarter, even against this challenging backdrop. Turning to Joybird. Written sales turned positive in the second quarter, up 5% versus year ago, as we lapped year ago Labor Day when Joybird trends fell significantly, consistent with most e-commerce furniture businesses and exacerbated by short-term marketing execution issues. Our renewed marketing execution is now efficient and resonating with consumers to build brand awareness. And while Joybird posted a small loss for the quarter as expected, the focus on managing both sales and profitability has led to a notable improvement in operating performance, and we remain optimistic about the prospects for the brand returning to both top and bottom-line growth over the medium-term. I also want to take some time to discuss the long-term focus we have for our business, and give an update on the progress we made against our Century Vision objectives during the quarter. Recall, Century Vision is our strategic framework for setting up La-Z-Boy Incorporated for our next 100 years, as we celebrate our first century in 2027. This is measured by our intention to grow top-line at a pace double the market, and deliver consistent double-digit operating margins over the long-term.  First, we continue to grow and update our La-Z-Boy Furniture Galleries network, and our company-owned retail portion of that network through new stores, acquired stores and remodels to provide an outstanding end-to-end consumer experience. Company-owned stores now total 177, and for the first time in our history, represent just over half of our entire network, reflecting the impressive journey our retail business has been on over the last decade. We continue to see potential for up to 400 stores across the entire network in the intermediate term, a potential incremental 13% to our total network. During the quarter, we opened two new stores and we completed the acquisition of one independent La-Z-Boy Furniture Gallery store in Lafayette, Louisiana. And in October, we signed an agreement to acquire an additional six store network from an independent La-Z-Boy Furniture Galleries dealer in the Midwest, scheduled to close in our third quarter. As a reminder, these store acquisitions are immediately accretive to our profitability, and allow the company to benefit from the integrated wholesale retail margin.  As we grow our company owned retail, our vertically integrated supply chain will become a more meaningful differentiator versus competitors in the industry. As we are uniquely able to understand the consumer and then deliver custom furniture with strong speed to market. We are actively leveraging the discipline of our team and the strength of our balance sheet to drive continuous improvements in offering greater value for our customers. These competitive advantages position us to continue to grow our business over the long-term.  Second on Century Vision, we are refining our brand channel strategy to expand the distribution and availability of La-Z-Boy products in additional compatible outlets to meet our consumers with the right products wherever they prefer to shop. As one example, last quarter, we announced a new partnership with Rooms To Go, a top-10 furniture retailer with a focus on Southwest and Southeast US markets, with a selected assortment of La-Z-Boy Recliners. While early, this partnership is off to a good start and we look forward to reaching more consumers through strategic partnerships.  Third, we're excited about the potential of our new Long Live the Lazy brand campaign. In the quarter, we activated a new marketing strategy, leveraging database consumer insights and our brand heritage of comfort and quality to connect with a broader consumer base. Our goal is to build top of mind awareness, relevance, and updated perceptions of the brand.  What makes us excited about our Long Live the Lazy brand campaign? It connects to cultural conversations and momentum, celebrating the value of earned rest and relaxation in our busy lifestyles. It reflects real-life lived-in rooms and well-loved homes across a variety of situations, life stages and home styles in which people can see themselves. We leverage knowledge of consumers rest and relaxation habits to connect, such as listening to music or a podcast, gaming, watching the news or the big game, and we will show up consistently across all touchpoints on the consumer journey to build familiarity and trust.  And next, Joybird. We continue to optimize Joybird to deliver a balance of sales growth and profitability. We view Joybird as an opportunity to increase our omnichannel presence for consumers. The brand continues to have significant opportunity to grow share, which will be our focus as we make prudent choices to return to profitability. Joybird currently operates 12 stores with the recent opening of a new store in Portland, Oregon, and we have identified a total of 25 potential locations over the intermediate term with our expansion pace depending on opportunities in real estate and the overall business environment.  And finally, on Century Vision, we continue our progress on building a more agile business model. Now that we have been able to successfully lower our unprecedented backlog to a more normalized level and are meaningfully improving plant productivity. We recently made decisions to further optimize our global supply chain. As part of this initiative, we are shifting upholstery production from our Ramos, Mexico operations to our other existing upholstery plants, and then relocating a portion of our cut and sew operations back to Ramos, Mexico. Resulting in the permanent closure of our leased cut and sew facility in Paris, Mexico.  Action taken to realign Mexico operations will be completed by the end of the fiscal with benefits accruing in fiscal 25. The strategic decision is made possible through continued productivity improvements achieved across our remaining plant network.  Now, let me turn the call over to Bob to review the financial results in more detail. Bob?
Bob Lucian: Thank you, Melinda, and good morning, everyone. As a reminder, we present our results on both a GAAP and non-GAAP basis. We believe non-GAAP presentation better reflects underlying operating trends and performance of the business. Non-GAAP results exclude items which are detailed in our press release and in the tables in the appendix section of our conference call slides. On a consolidated basis, fiscal '24 second quarter sales decreased 16% to $511 million versus the prior year quarter, primarily reflecting lower delivered unit volume versus last year's backlog shipments. This quarter sales results, represent a 14% increase versus the most recent non-pandemic second quarter. As a reminder, we previously called out that last fiscal year benefited by an approximately $300 million increase in delivered sales, due to the delivery of backlog of COVID-related furniture orders, which will not repeat this year. While we did not call out backlog explicitly across the quarters, the first half saw a more pronounced impact against backlog sales. As such, we expect year-over-year delivered sales comparisons to improve over the back half of the fiscal year. Consolidated GAAP operating income decreased to $34 million and non-GAAP operating income was $41 million, a decrease of 34% versus last year's second quarter. Consolidated GAAP operating margin was 6.6% and non-GAAP operating margin was 7.9%, reflecting a 210 basis point decline versus last year due to fixed cost deleverage on lower delivered sales. GAAP diluted EPS was $0.63 for the second quarter versus $1.07 in the prior year quarter. Non-GAAP diluted EPS was $0.74 in the current year quarter versus $1.05 last year. As I move to the segment discussion, my comments from here will focus on our non-GAAP reporting unless specifically stated otherwise. Starting with the Retail segment, for the quarter, delivered sales were $214 million, a 15% decrease over the prior year's second quarter, which benefited from higher deliveries of backlog. Importantly, sales were 44% higher than our fiscal 2020 second quarter, a 10% compound annual growth rate improvement over the four years.  Retail non-GAAP operating margin decreased to 13% versus 16.5% in the prior year quarter. Gross margin improvements from prior period pricing actions were more than offset by higher SG&A as a percentage of sales, with fixed cost deleverage on the lower delivered sales volume. This non-GAAP operating margin result was 720 basis higher than fiscal 2020 second quarter pre-pandemic result, reflecting significant sustainable improvement in store execution and fixed cost leverage, due to the overall growth of the Retail business. For our Wholesale segment, delivered sales for the quarter declined to $365 million, an 18% decrease versus the prior year period, which benefited from pandemic backlog production and deliveries. Non-GAAP operating margin for the Wholesale segment was 7.7% versus 8.6% in last year's second quarter, reflecting strong gross margin improvement, more than offset by SG&A deleverage on lower sales.  Gross margin improved with benefits from lower raw material pricing and duty expense. This was more than offset by fixed cost deleverage and increased marketing investments to support the launch of our Long Live the Lazy brand campaign. Joybird reported in corporate and other recorded delivered sales of $32 million, a 15% decrease versus the prior year quarter. The decline was driven by lower unit volume from more cautious consumer demand compared to earlier in the prior year. Additionally, we recently opened our 12th Joybird store in Portland, Oregon in November. We remain committed to growing the brand over the longer term and will continue to maintain our discipline approach as we work to balance growth and profitability.  Pulling all this together for the quarter, consolidated non-GAAP gross margin improved across all businesses and for the entire company, improved by 340 basis points versus the prior year second quarter, primarily due to lower raw material and duty costs, partially offset by selective pricing and promotional actions.  While SG&A non-GAAP expense dollars decreased year over year, non-GAAP SG&A as a percentage of sales for the second quarter increased by 550 basis points compared with the same period last year, primarily due to sales de-leverage against last year's backlog driven top line results.  Our effective tax rate on a GAAP basis for the second quarter was 26.5% compared to the 25.8% for the prior year period. Our effective tax rate varies from the 21% federal statutory rate, primarily due to state taxes. We expect our effective tax rate to be in the range of 26% to 27% for fiscal ‘24.  Turning to cash for the quarter, we generated $31 million in cash from operating activities. Solid cash generation on the quarter was primarily driven by profit performance. Through the first two quarters, cash flow from operations was $57 million, 84% higher than last year's comparable period. We ended the quarter with $333 million in cash and no externally funded debt. We spent $13 million in capital expenditures during the quarter, primarily related to retail store openings and remodels, as well as upgrades at our manufacturing and distribution facilities. We also spent $2 million on the acquisition of one independent La-Z-Boy Furniture Gallery store in Lafayette, Louisiana.  In the second quarter, we returned $18 million to shareholders, including $8 million paid in dividends. We repurchased 326,000 shares in the quarter, which leaves 6.6 million shares available under our existing share repurchase authorization. Subsequent to quarter end, reflecting the confidence in the company's long-term growth prospects, the Board of Directors increased the regular quarterly dividend by 10%. This takes our quarterly dividend to $0.20 per share. We view share repurchases and our dividend as an attractive use of our cash and positive return to shareholders. Recall our capital allocation strategy is to invest approximately 50% of operating cash flow back into the business with the balanced return to shareholders.  In the near term, we have numerous strategic investments to make as we execute Century Vision and anticipate capital allocation to be more heavily weighted to investments in the business, where our ROIs are two times our cost of capital.  Before turning the call back to Melinda, let me highlight several important items for fiscal 2024 and our third quarter. Consistent with our Century Vision Strategy, we continue to target sales growth double the industry growth rate and double-digit operating margins over the long term. We expect sales in the third quarter of fiscal ‘24 to be in the range of $515 million to $535 million and non-GAAP operating margin to be in the range of 7% to 8%.  We anticipate non-GAAP adjustments for purchase accounting charges for the year to be in the range of $0.01 to $0.03 per share. We expect capital expenditures to be in the range of $60 million to $70 million for fiscal ‘24 as we invest to strengthen the company for the future, consistent with our Century Vision strategy. And finally, presuming no significant worsening in macroeconomic trends, we expect to continue share repurchases at dollar levels consistent with pre-COVID repurchase activity. And now I will turn the call back to Melinda.
Melinda Whittington: Thanks, Bob. We delivered on our objectives in the quarter with many wins, including a new brand campaign launch, positive written same-store sales, sequential improvement in our delivered sales results, and growth in our company-owned retail store base, which is now just over 50% of our total network. We are engaging with an even brighter consumer than we have in the past. And although the macroeconomic environment remains challenging, we will continue to focus on driving our business, focusing on the consumer and continuously improving our execution.  We have every intention of growing from our post-COVID base gaining share and believe the best is yet to come as we deliver long-term profitable growth and returns to all stakeholders. I want to thank the entire La-Z-Boy Incorporated team for their ongoing dedication and for yet another quarter of strong results, even in a challenging environment. I wish you all a happy and healthy holiday season. Thank you for your time this morning. And with that, I will turn it back to Mark.
Mark Becks: Thank you, Melinda. We will begin the question-and-answer period now. Jenny, please review the instructions for getting in the queue to ask questions.
Operator: [Operator Instructions]. Our first question is coming from Brad Thomas of KeyBanc Capital Markets. Brad, your line is live.
Brad Thomas: Hi, good morning and congratulations on a good quarter here. Melinda, first I just want to kick off with the strong performance, particularly relative to the industry and what you're seeing on the written front, and maybe this is kind of two parts. I mean, first I was hoping you could just talk a little bit more about your own network and what you think is best driving results. And then maybe if you could also speak to some of the wins that you have had within third-parties? And how much of this is just your own execution versus perhaps some of the bankruptcies that have been reported in the industry and the disappearance of competitors?
Melinda Whittington: Yes, a couple of thoughts there. First of all, within our Furniture Galleries, and particularly our company-owned furniture galleries, we have been on a really strong execution march for quite a few quarters now where with the traffic that is coming in the door, what we are doing in the way of design sales, in the way of conversion rates of average tickets, the blocking and tackling, we just continue to get better there in very database, but blocking and tackling ways, and that trajectory continues.  The second thing is, the power of the brand. And we do believe, the Long Live the Lazy campaign, has begun to affect that and will continue to get stronger over time, obviously long purchase cycles. And so, that's a long process. But we believe that the consumer coming in is excited about the La-Z-Boy brand and is ready to buy. And that kind of speaks to that whole brand campaign is again, very data-based around speaking to a broader set of consumers than in the past but consumers that are really going to resonate with our brand's quality and comfort that we've been known for almost a hundred years.  And then, last but not least to your point on there definitely -- it's a tough industry out there, and in our highly fragmented market, there's been a decent number of both manufacturers and retailers that are leaving the business. And so we're opportunistic about that, right? And even across some of our, not just our La-Z-Boy brand, but across some of our other smaller brands, we're making sure that we're mobilizing to help retailers that have lost some of their supply sources as manufacturers have gone out. And to make sure that, again, we're really playing offense from a retail and a consumer standpoint, that we're playing offense on our brands to make sure we're top of mind for consumers. So, if other channels close up, they're looking at us.
Brad Thomas: And then, Melinda, just to follow-up on the cadence of the business, you did touch on this, I think in the remarks, but we sort of widely heard that October was a soft month. You referenced things improving in November. Any more commentary you could share about how November's been trending for you and your optimism for this holiday season? 
Melinda Whittington: Yeah, I mean, we've certainly seen even if you look through what would be our Q2, August, September, October, as we mentioned prepared remarks. Labor Day looked like there was some decent strengthening. And then October, I think across the, in industry was challenging. Early reads, it's still very early on the holiday season, which for all industries kind of spreads over a couple of weeks, if not months now.  So, we were pleased with what we saw in the early days of the holiday season. And I think we're just going to continue to see kind of a bumpy consumer experience here for a while. So, we're focused on executing against those consumers that are still willing to buy. And it does help that we're a little more upper middle-income consumer, so they are always going to be a little less affected by some of these economic challenges. 
Operator: Your next question is coming from Anthony Lebiedzinski with Sidoti & Company. 
Anthony Lebiedzinski : First just to follow-up on Brad's question about as far as design, sales and average ticket, is there any way you guys can share any quantifiable metrics on that? As far as how much of your revenue comes from in home design nowadays and maybe any, any sort of comments on the average ticket? 
Bob Lucian : Yeah, Anthony, right now, we've been increasing this and has continued to a slow march, if you will. But it's a march -- continued march up, we're now around 30%, design sales and that's continuing to increase, we continue to see year over year improvements in that metric as the stores execute extremely well with the consumers who are coming in to shop there.  And then from an average ticket perspective, we're also seeing slight increases there particularly with the higher design sales. We are seeing folks buying more product, and those are two of the reasons that Melinda also added to the other ones relative to what we are doing in the store as well as what we are doing from a brand perspective that are enabling our retail stores to outperform, what we believe is outperforming the industry in general.
Anthony Lebiedzinski : Thanks, Bob. And then, in terms of the guidance for Q3, is this mostly volume driven as far as the sales decline from last year. How should we think about pricing? I know it was a bit of a factor during Q2, but just overall, just wanted to get a better understanding as to how you are thinking about the volume versus pricing dynamics?
Bob Lucian: The pricing is pretty much in -- we have pretty much lapped all the price increases that we've taken. There's been some promotional opening price point sharpening and things like that, that we have done. We have seen some improvements in mix, and a combination of those things is how we are kind of thinking about the kind of year-over-year from a unit perspective, things are, I would say, flattish with some benefit from the mix of the business we have from a Retail versus Wholesale, as well as the mix of some of the products that we're selling in the Retail segment.
Anthony Lebiedzinski : And then, as you called out, part of Century Vision strategy is to get to double-digit operating margins, you made some changes to your supply chain here as of this last quarter, staying agile as you like to say. So I mean, can you guys -- do you think you can get back to a double-digit operating margins even if revenue will be below peak levels that you had in fiscal '22?
Bob Lucian: Yes. Our plan will be to get our sales above those peak levels with all the work that we are doing from a Century Vision strategy perspective. That includes all the work we are doing on the retail side relative to acquisitions, new store openings and just continued execution that store to derive same-store sales. All the channel expansion strategy that we have got right now is delivering. We are getting into new customers and we are delivering incremental volume from that. So with all of those going on, and then eventually, we will see the consumer come back in and start shopping because the economy will get better, the housing market will improve, and people will start kind of -- we will see the industry come back from that perspective. A combination of all of those things will indicate that we are going to be over that, the peak that we hit during COVID. Question of when that's going to happen, is a function of the macroeconomic environment. But we are working on all the things that we can work on to make that happen. And as we are doing that, we are doing a lot of work, particularly on the wholesale side to bring that business back up into the 10% margin area that it was pre-pandemic. We’re getting more efficient in our plants. We just took a decision relative to closing a facility, because of the productivity improvements we have seen in the U.S. plants, we were able to absorb all that volume into those plants. So it is not something that's going to happen next quarter, but over time we are going to be continue to move that are Wholesale business up to that 10%. And we will continue to execute well on the Retail side. And that's the formula if you will for getting to the consistent double-digit margins.
Operator: [Operator Instructions]. Our next question is coming from Bobby Griffin of Raymond James.
Bobby Griffin : I guess Bob, I want to circle back on the restructuring and hopefully maybe we can unpack the changes a little bit more and then maybe talk about what do you think that opportunity can do to the wholesale margins? And then I guess as the second part of that question is when you look back versus pre pandemic, so not the prior -- not the pandemic peak, but going back to call it like FY ’19, what are the biggest two or three drivers and the difference between wholesale being 10% and now wholesale being 7% or 8% margins? 
Melinda Whittington : I'll start, Bobby. If you look at what we did over the last three years when there was so much supply chain disruption, and then at one point we were at kind of a six-to-nine-month backlog. What we did is prioritize getting our consumers and our customers’ service. And as our production process is an artesian process. It's people with hands putting together fabric and foam and steel and wood. And so we opened up quite a few leased facilities to essentially get the people and the processes in place to service that backlog. As the dust has settled now, that's giving us the opportunity to look at that, get back to the blocking and tackling work that we've had for many years around being super productive, and get our existing plants back on track with less disruption.  So with that, enables us to start to, it's never easy to be clear to close locations, right? Those that impacts people. But we're making those tough choices and closing down some of those leased facilities and all, as the rest of our network kind of gets back to the excellent productivity levels that they've had in the past. So I think that that's the biggest single piece is somewhat managing through the disruption now and then designing that footprint of the future that meets our consumer needs and our customer needs for the long term at the sort of strategic level. 
Bobby Griffin : And then Bob, I think, you touched on it a little bit in your remarks about improving the efficiency, but just any color on kind of where we are versus historical efficiency on a output per employee or any type of metrics you guys look at that kind of help us think about this sequentially building, because I believe that is probably one of the biggest drivers of getting wholesale margins back to double digits, right? 
Bob Lucian: It is and it is a combination of the productivity as well as like the decision that we just made. We should get at least 50 to 60 basis points of improvement next year versus this year due to that the restructure that we just announced. Again, it's not going to start until next year because it's going to take three months or six months for us to go off and get completed -- it'll be completed by the beginning of fiscal ‘25. It's going to be that couple -- there's no one single, it's not just a worker productivity piece of it. There's work that we're doing relative to how we are scheduling our plants, what products are being made in our plants. We're doing work on our delivery expense and our delivery network and how we do that.  So we are tackling every single aspect of our supply chain cost structure via program we call transform. And that program is turning over every rock making improvements in a number of different areas. So, it's hard to quantify just one thing for you to say, okay, our productivity is so many sofas per shift for whatever, and then it's going to be up by 10% and that kind of thing. I don't know if that's what you were looking for or not.
Bobby Griffin : The basis point improvement based on restructuring is helpful too. And I guess the last side of things is, what is the change do from a capacity standpoint? Hopefully, one day, we are going to get back to a point where industry is growing again. I am hopeful that's going to happen sometime. But what does it do from a a capacity standpoint, if we get back into a nice type of recovery?
Melinda Whittington: Our focus is absolutely making sure we can service those incoming order rates. And to your point, eventually, there is going to be a tailwind here, on top of all the good work to drive demand. And so, that's part of our overall equation is to make sure we have got the headroom for when we see order rates pick back up significantly. And importantly, our supply chain will remain agile. So over time, the potential for expansion of our existing Same footprint is something we are always looking at to make sure not just that we have got enough capacity, but that it is in the right locations. Furniture are big pieces to move around, so you want to make sure that, footprint is in the right place relative to where your customer base is too.
Bobby Griffin : And then congrats on getting the agreement to acquire the six Midwest stores. Are the conversations changed any or happening more frequently with some of the independent galleries, given some of the headwinds the industry has been facing or is it still kind of as we have always talked about historically kind of ebb-and-flow basis of timing you can't really predict?
Melinda Whittington: We have talked over the last couple of years about being a little more strategic in those conversations on our end, rather than kind of waiting to see if someone knocks on the door, making sure we are proactively. Partnering with our long-term independent furniture gallery owners so that they know we are here, if they are interested and what that would look like for them financially.  So we have been definitely more strategic in those conversations in recent years. I wouldn't say anything given the economy is really changing right now. Simply, for the most part, La-Z-Boy Furniture, as you saw in the results the last couple of quarters La-Z-Boy Furniture Galleries broadly are performing well on the strength of the brand and the product offerings. And so you are not seeing that like you might see mom and pops that are general dealer type selling a lot of different brands struggling more.
Operator: Thank you very much. We don't appear to have any further questions in the queue. I will now hand back over to the management team for their closing comments.
Mark Becks: Thanks, Genie. Melinda, Bob and I will be in our office to take any follow-up questions we didn't get to on the call. Have a great day.
Operator: Thank you very much everyone. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.